Operator: Good afternoon, and welcome to the Energous Second Quarter 2022 Financial Results Conference Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Matt Sullivan, Investor Relations. Please go ahead.
Matt Sullivan: Thank you, Joe, and welcome, everyone. Before we begin, I would like to remind participants that during today's call, the company will be making forward-looking statements. These statements, whether in prepared remarks or during the Q&A session, are subject to inherent risks and uncertainties that are detailed in the company's filings with the Securities and Exchange Commission. Except as otherwise required by federal securities laws, Energous disclaims any obligation or undertaking to publicly release updates or revisions to the forward-looking statements contained herein or elsewhere to reflect changes in expectations with regards to those events, conditions and circumstances. Also, please note that during this call, Energous will be discussing non-GAAP financial measures as defined by SEC Regulation G. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures are included in today's press release, which is posted on the company's website. Now I'd like to turn the call over to Cesar Johnston, CEO of Energous. Please go ahead, Cesar.
Cesar Johnston: Thanks, Matt. Good afternoon, and welcome to the Energous 2022 second quarter conference call. Joining me is Bill Mannina, our acting Chief Financial Officer. We would like to start this call by sharing our latest news with you. As announced in our earlier press release this afternoon, we received a breakthrough FCC approval for our new 15-watt WattUp PowerBridge. This significant achievement not only allows us and our partners to deploy wireless power networks capable of higher power delivery to support a broader range of IoT devices, but it also enables us to deliver such power at even further distances than previously authorized. Energous 15 power - 15-watt PowerBridge transmitters can enhance the wireless charging network performance in applications where high receiver coverage and high signal penetration are needed to energize hard to charge hidden receivers. These milestones support our long-term goal of advancing regulatory approvals for wireless power that allow for higher power and greater distances. This is why we are thrilled to announce that our new generation of WattUp PowerBridge transmitters that are capable of charging at 15x higher power than our 1-watt WattUp PowerBridges with no distance limitations are now fully FCC certified. Additionally, on August 1, 2022, we announced the first retail WattUp PowerBridge deployment in the company's history. A wireless power network implementing multiple 1-Watt WattUp PowerBridges, energizing thousands and thousands of smart RF tags or IoT pixels from our partner, Wiliot, under the software control of our customer flagship. Flagship's innovative software technology automatically tracks the movement of items in the store, fitting room or warehouse helping retailers understand and garner insights into in-store customer behavior. Beyond retail, similar applications of Energous technology can also be replicated in multiple additional markets, including industrial IoT, medical, smart home and smart office, opening new exciting opportunities for the deployment of Energous wireless power networks and revolutionizing the next-generation IoT experience. We believe that the scalability of WattUp wireless power networks is unique in the industry and gives us a sustainable competitive advantage. Our focused strategy for WattUp wireless power networks for IoT is showing positive results. In past month, we focused on RF tags and electronic shelf label applications and have successfully demonstrated their system capabilities and functionality of our wireless power networks in real deployments. As previously highlighted in our fourth quarter 2021 conference call, our goal for 2022 is to support three applications this year, and we are now announcing that IoT sensors will be the additional third application that Energous will target joining RF-tags and Electronic Shelf Labels . . By focusing on these three applications, we are now in a position to access high-volume markets in retail, industrial, medical, smart homes and smart office. We would like to point out that as WattUp wireless power networks for IoT are deployed, a new energized and connected world without wires and batteries is being created, enabling future applications and markets, which will take advantage of the initially deployed Energous-based wireless power networks. We will update our progress on the IoT sensor application development as we move forward.  Moving on to revenue for the quarter. As you saw in our earnings press release this afternoon, we reported revenue of approximately $233,000 in Q2 2022, which represents a 26% increase over the same quarter for 2021. This 26% year-over-year increase in Q2 2022 as well as the previous 49% year-over-year increase in Q1 2022 compared to Q1 2021 continues to highlight the growing interest in our wireless power network technology as we ship measurable quantities of product and new orders are received. And now I will give a company update on the goals that we set for ourselves for 2022, sharing meaningful progress and results as we continue to deliver on our strategy. Our first short-term goal was to fulfill the commercial delivery of 1-watt WattUp PowerBridge orders. We are proud to recognize that this goal has been met, and we delivered our first shipment of these orders in Q4 2021, and we have since delivered subsequent shipments in first quarter and second quarter 2022 as new orders were received. Our second near-term goal was to identify a bench head RF application and related addressable markets, targeting our first production pilot deployment, which has now been completed. We met this goal recently as we announced our first deployment of asset tracking devices with Wiliot and flagship for retail markets last Monday, August 1, 2022. Lastly, our third stated near-term goal was to complete the development of an electronic shelf label end-to-end system and target our first pilot deployment. We completed the development of the end-to-end system and demonstrated the system at CES 2022 in Las Vegas. We will give further updates on this near-term goal in the future. In our first quarter 2022 earnings call, we also reiterated several long-term goals, and I'd like to highlight those right now. Our long-term goal number one and two are the following; support AirFuel Alliance efforts to develop a wireless power transfer standard; and number two, lead the ITU recommendation to align 900-megahertz wireless power spectrum as the first designated wireless power spectrum worldwide. I am pleased to report that Energous continues to be part of the efforts to develop the AirFuel Alliance wireless power transfer standard, while leading in all relevant ITU efforts to have 900 megahertz as the first designated power spectrum worldwide. Our third long-term goal is to certify high-power greater than 1-watt conducted power, IoT wireless power network, PowerBridge transmitters in the U.S. and the European Union without distance limitations. With the 15-watt PowerBridge FCC certification in the U.S. that we announced today and our earlier greater than 1-watt certification in the European Union, I'm excited to report that we have achieved this objective. Long-term goal number four is to identify potential applications of ESL vertical markets and target first pilot deployment. We continue to prioritize this goal and form inroads that are important to a pilot deployment. Our long-term goal number five was to identify a third vertical market and to build an end-to-end system for customer technology demonstrations. We just announced that our third vertical market supporting IoT sensors, and we are in the process of developing a differentiated solution based on our core technology. Finally, our sixth and less stated long-term goal is to deliver year-over-year revenue growth driven by expanding IoT wireless power network deployments. As a management team, we are focused and committed on delivering year-over-year revenue growth driven by expanding IoT wireless power networks. And as we mentioned earlier, we are delivering on this goal as our last two quarters have shown revenue growth compared to the equivalent quarters in 2021. Also, in this quarter, I am very pleased to welcome Giampaolo Marino as our new Vice President of Business Development and Marketing. Giampaolo brings to Energous significant experiences in solidifying strategic partnerships and building platform solutions for IoT applications. In summary, it's been a very exciting quarter at Energous. Multiple short and long-term goals have been met, proving that our strategy on IoT wireless power networks is gaining momentum through the deployment of active energy wireless power networks. New and exciting technology and certification achievements. Energous is making RF wireless power network a reality. I will now turn this call to Bill Mannina, our acting CFO. Bill?
Bill Mannina: Thanks, Cesar. At the close of the market today, we issued our Q2 earnings press release announcing the operating and financial results for our fiscal 2022 second quarter ended June 30. For the second quarter, we recognized approximately $233,000 in revenue, an increase of 8% compared to approximately $216,000 in the prior quarter and a 26% increase compared to approximately $185,000 in the same quarter of last year. Cost of revenue for Q2 was approximately $271,000, an increase of $68,000 over the prior quarter, which was due to product sales making up a larger percentage of our revenue in Q2. We did not report any cost of revenue in Q2 of 2021. Total GAAP costs and expenses for the second quarter totaled $7.3 million. Approximately even with a total expense of last quarter and approximately $3.9 million lower than the second quarter of last year. The main reason for the large year-over-year decrease was an approximately $3.7 million decrease in stock compensation expense. Year-to-date, our total GAAP costs and expenses was $14.7 million. Approximately $5.2 million lower than the $19.9 million of year-to-date GAAP expense in fiscal 2021. And the decrease year-over-year was primarily tied to lower stock compensation expense, which accounted for $5 million of the decrease. The net loss for the second quarter on a GAAP basis was $7 million or a $0.09 loss per share on 77.1 million weighted average shares outstanding. This compares to a $7.2 million net loss in Q1 or $0.09 per share and an $11 million net loss or $0.18 loss per share in Q2 of 2021. Also, our weighted average shares were 62.1 million shares in Q2 of 2021. The year-over-year increase in the share count was mainly due to the completion of our at-the-market offering, or ATM, in the fourth quarter of 2021, which raised an additional net $27 million of cash and added 22.2 - I'm sorry, added 12.2 million shares. Now for a non-GAAP view of our numbers for the quarter as we believe non-GAAP information provides a useful comparison for investors, especially for a company at our stage, when used with GAAP information. Excluding approximately $633,000 in severance expense, $576,000 of stock compensation and approximately $57,000 of depreciation expense from our total Q2 GAAP expense of $7.3 million, net non-GAAP cost and expenses totaled approximately $6 million, a decrease of approximately $500,000 compared to Q1 and a decrease of approximately $900,000 compared to Q2 of last year. The decreases were mainly due to reduced head count and research and development and sales and marketing. Net of revenue, our non-GAAP operating loss for Q2 was $5.8 million and approximately $500,000 lower loss compared to Q1 and an approximately $1 million lower loss when compared to Q2 of last year. Non-GAAP research and development expense was $2.9 million and approximately $250,000 decrease versus the prior quarter and approximately $650,000 decrease compared to the same period last year. The decreases were mainly attributable to lower headcount and lower chip development costs. Non-GAAP SG&A expense was $2.9 million, a decrease of approximately $300,000 versus the prior quarter and a decrease of approximately $500,000 compared to Q2 last year. The decreases were mainly due to a decrease in head count as well as decreases in legal and annual shareholder meeting costs. Year-to-date, our total non-GAAP cost and expenses was $12.5 million, $800,000 lower than the $13.4 million of year-to-date non-GAAP expense in fiscal 2021. The decrease was mainly due to lower expense in R&D and SG&A, resulting mainly from headcount decreases. The overall decrease was partially offset by an increase in cost of revenue. Turning to the balance sheet. We ended Q2 with $35.7 million in cash and remain debt-free. We expect our GAAP and non-GAAP cash operating expenses for the full year to trend in the current range with our normal quarterly fluctuations. Also, as mentioned earlier, we continue to forecast year-over-year revenue growth. We are pleased to see the progress being made through our efforts to increase revenue while also managing our current operating expense run rate. I will now give the call back to the operator for the question-and-answer session.
Operator: [Operator Instructions] Our first question will come from Jon Hickman with Ladenburg. Please go ahead.
Jon Hickman: Can you talk more about your - the flagship, they've started with one retailer down in Australia. Is that it?
Cesar Johnston: Yes. The announcement that we made two days ago is in reference to our first deployment of our tens of our power bridges with thousands of with RF tags in store.
Jon Hickman: And then is there a plan to like - is that a store a change by any hands? Like is there a chance that this expands beyond one store.
Cesar Johnston: It's a retail company that has multiple sites. And at this point in time, there's not been any further information as far - that we can release our flagship has released in reference to the potential retailer, with respect to retail store, yes.
Jon Hickman: Are there other retailers on the horizon with flagship?
Cesar Johnston: We, in general, work not just with flagship with a number of potential customers that we'll use this technology and by actually showing and we'll let to build partially as we show the first one, we're opening up plenty of opportunities, not just in retail but for the potential markets. So yes, it is likely.
Jon Hickman: Okay. And then you probably won't answer this question, but you're talking about year-over-year revenue growth and last year revenues were $757,000. Do you have some kind of percentage in mind that would make you happy?
Bill Mannina: Jon, it's Bill. At the moment, we're advising that it's going to be year-over-year growth. And that's the guidance we're giving right now. We can possibly look at giving more guidance next quarter, but that's what we're doing right now.
Cesar Johnston: And just the first two quarters, we have shown actually 26% and 49% growth.
Operator: Our next question will come from Suji Desilva with ROTH Capital. Please go ahead.
Suji Desilva: Hi, Cesar. Hi, Bill. Congrats on the progress and the cost execution as well here. So, the markets you talked about, RF-tags, ESL and now the new one IoT sensors. Can you give us a sense of the relative addressable market of each to get a sense of how big this new opportunity is relative to what you're already targeting?
Cesar Johnston: Yes, I can tell you that all these markets together, they're in the order of $280 billion. That includes smart office, smart home as well as retail industrial IoT and Medical. As far as the relative sizes of each one of them, I mean as per IDC, by the way, so these are - this is data that we get from IDC. My recollection right now is - they're somewhere between each of those around 70 billion or so average, [technical difficulty] yes. So, it's a total addressable market that's extremely respectable.
Bill Mannina: And each is pretty similar in size, it sounds like, Cesar.
Cesar Johnston: These IoT industrial is probably the one that is a little higher, I would say, closer to, call it, $89 billion or so, but most of them are in the €70 billion and health care medical now there, remember, somewhere around $50 billion or so.
Suji Desilva: And I know you're planning to update us on the newer vertical IoT sensor. But can you talk about maybe what some of the earliest opportunity areas are in that large market just to understand where you might see traction?
Cesar Johnston: Yes. Suji, thanks for the question. I would like to remind everyone that this is a very exciting time. And while we talk about independent applications and multiple markets. What we're really doing here at Energous is we are actually deploying what's basically the next generation of wireless power networks. And what we announced today is really the next generation of wireless power networks 15 watt. And what I'm trying to say here is that with the moment we deploy those wireless power networks, for any of the applications that we talk about, we are basically enabling the world of effectively any potential receiver, taking advantage of that deployed network. Now along those lines, when it comes to IoT sensors, which is your particular question, we're looking at possibility of sensing the environment, being able to look at temperature, humidity, being able to look at air quality. Air quality has become very, very important as lately, being able to track offices that now with COVID has been shut down and being able to have sensors that allow you to look at the light levels and being able to actually tap savings when it comes to electricity and being able to also sense people as people go into offices and areas [indiscernible]. So, we're talking about sensing the environment and provide an automated way moving forward to change how those spaces are managed. That's basically what we're looking at, and we will give more updates as we move forward. We will announce technology that's been developed today for that purpose. And that will complement our strategy so far, dealing with ESL and our stacks. And if you remember what I said before, the same transmitters that we have can actually power all three of those applications and more.
Suji Desilva: Okay. Great. A few more questions. On the flagship customer pilot, what would be the stages of that pilot? What should we think about happening next and how long would each take before perhaps production starts?
Cesar Johnston: That's a very good question and is relative to the different customers that we have. I don't have one single generic template for that. But what we can say is effectively, what happens is they do one. And after that, they do multiple ones. And as they prove that their automation is in place, then they move into a product level. And it's going to be basically a function of the different people that are evaluating our technology today.
Suji Desilva: Okay. So next will be piloting multiple sites, you're saying.
Bill Mannina: That will be next.
Suji Desilva: Got it. Okay. That helps. And then I just want to make sure I heard this right. On the 15-Watt, it sounds like along with obviously being more power, you can now recharge sensors that might be hard to reach, hidden or buried to kind of use that language. I'm curious what an example of that would be because that sounds interesting.
Cesar Johnston: Yes, there is my question. So, two things about 15-Watt. Number one, it's a new generation, it's a new product, and it can be absolutely targeted in two different directions. One direction is complementing our 1-watt PowerBridge wireless tower network where you deploy 15-watt systems that allow you to have further penetration into hidden areas or hidden receivers. Therefore, expanding the amount of coverage that you have and exceeding in the case of BLE tags, the type of coverage that you would have with, let's say, an RFID type of implementation. So that's one possibility. The second is watt based wireless power networks that allow you now to have further range, I mean, 15x more power than we previously have reported. And by the way, so far, the only product out there in the market that actually is certified at this level. And if you look at our transmitters, very, very small transmitters and only one-inch thickness and 8-inch. And being able to actually deploy it in similar to our Wireless 1 systems. But now being able to do two things, either give you more range on the horizontal side or giving you more power as you also go up in height. So, we are now in a position where we can have wider areas that we can power with the system. And most important, because now we have 15-watt systems, it opens up the possibilities of other markets that we're not focused on today that we will be working on probably towards that next year. So, there's other levels of IoT devices that now we can enable that we haven't even focused on because as a small company, we need to be very focused on what we're doing right now. So there's plenty of opportunities with 15-watt.
Suji Desilva: That provides some good color. And then maybe last question perhaps for Bill. You did a good job managing OpEx while you're trying to grow the top line as well. Can you talk about what areas or how you approached reducing OpEx and maybe certain projects were pushed out? Or any sort of impact to the business from the cost management you're doing?
Bill Mannina: I mean some of those costs were mainly attributed to the headcount. So it was just managing the hires. And there are also G&A costs we're targeting, like we have renewed our lease at a lower rate that will kick in, in Q4. But as I mentioned, some of those are headcount related, those decreases. And then other it's also managing just general costs, legal, Annual Shareholder Meeting.
Cesar Johnston: Some cost on luxury restructuring that was done in general, yes.
Operator: This concludes our question-and-answer session. I would now like to turn the conference back over to the CEO, Cesar Johnston, for any closing remarks.
Cesar Johnston: Thank you. We would like to thank our shareholders and stakeholders for their support as Energous continues to lead the industry in the development of the deployment of next-generation RF-based wireless power networks. We are an innovative company, and our successful wireless power network deployment will generate revenue growth through the increased shipment of products. So far, we have achieved that this quarter, and we have reported the progress of our short term and our long-term goals. The Energous team will continue to focus on this important core goal, and we'll update on news as we move forward. Thank you for your support.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.